Operator: Good morning, and welcome to the Norwegian Cruise Line Holdings First Quarter 2020 Conference Call. My name is Jonathan, and I will be your operator. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions for the session will follow at that time.  As a reminder to all participants, this conference call is being recorded.
Andrea DeMarco: Thank you, Jonathan, and good morning, everyone and thank you for joining us for our first quarter 2020 earnings call. In the past, we have hosted our earnings calls from various locations, including London, the New York Stock Exchange and even onboard our vessels. Never have we hosted a call with our entire team scattered in different locations. It's one of the many ways we're adopting to the new environment so I ask that you bear with us as we find our sea legs on our first socially distanced earnings call. I'm therefore joined virtually today by Frank Del Rio, President and Chief Executive Officer of Norwegian Cruise Line Holdings; and Mark Kempa, Executive Vice President and Chief Financial Officer. Frank will begin the call with opening commentary after which Mark will follow to discuss results for the quarter before handing the call back to Frank for closing remarks. We will then open the call for your questions. As a reminder, this conference call is being simultaneously webcast on the company's Investor Relations website at www.nclhltdinvestor.com. We will also make reference to a slide presentation during this call, which may also be found on our Investor Relations website. Both the conference call and presentation will be available for replay for 30 days following today's call. Before we discuss our results, I'd like to just cover a few items. Our press release with first quarter 2020 results was issued this morning and is available on our Investor Relations website. This call also includes forward-looking statements that may involve risks and uncertainties that could cause our actual results to differ materially from such statements. These statements should be considered in conjunction with the cautionary statement contained in our earnings release. Our comments may also reference non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release and presentation. And with that, I'd like to turn the call over to Frank Del Rio. Frank?
Frank Del Rio: Thank you, Andrea, and good morning, everyone. I hope everyone joining us today along with your loved ones and colleagues are safe and healthy. Every one of us is doing our part to combat this pandemic by sheltering in place and practicing social distancing.
Mark Kempa: Thank you, Frank and good morning everyone. Given the swift and significant impact COVID-19 has had on our business, my remarks today will not be typical for an earnings call. I will not focus on yield growth or net cruise costs, as today these metrics simply aren't relevant. Instead, I will focus on the quick development and execution of our financial action plan and how we believe we've positioned our company to withstand an unlikely scenario of over 18 months in a zero revenue environment. Slide 7 illustrates our four-point action plan, which we quickly implemented to conserve and increase cash to protect the business. The four key areas of focus include, reducing operating expenses, reducing capital expenditures, improving our debt maturity profile and securing additional capital. First, let's focus on operating expenses on slide 8. We deployed several levers to reduce both shoreside and shipboard operating expenses. SG&A savings included the significant reduction or deferment of near-term marketing expenses, the introduction of a shortened work week with a commensurate 20% salary reduction for team members and a furlough of approximately 20% of shoreside employees through July 31.
Frank Del Rio: Couldn't find the mute button, Mark. Thank you. With our ships in safe harbor and an enhanced liquidity position post our extremely successful capital raise, we now shift our focus to the third phase of our response as seen on Slide 15, executing on our road map for a new era of cruising. This phase is critical, very critical and will be predicated on two main factors: first receiving approval to safely resume operations from governments around the world including the CDC; and second and most important providing consumers with absolute confidence in our ability to deliver safe and healthy vacation environment through new and enhanced health and safety protocols utilizing the latest state-of-the-art technologies and testing methodologies. Nothing will be more critical to resuming sustained and profitable long-term operations and making cruising the safest option in the travel and leisure space and providing our guests with the peace of mind around their good health, while vacationing aboard our vessels. This will require a multi-pronged, multidisciplinary and multi-agency and global strategy that will involve strong collaboration between cruise lines, industry associations, national and local governments, public health agencies and ports around the world. Our goal is to preserve the traditional elements of the cruise experience, the great value, the multiple destinations visited, the wide array of dining entertainment offerings, modified as necessary as to the many changes we are becoming accustomed to in our daily lives. Another area of focus is working with our port agents and operators around the globe, to understand and coordinate plans for reopening. This endeavor will undoubtedly involve fits and starts as destinations decide when to reopen cruise ports. Overlaying these plans with possible new consumer demand trends, will guide the early days of our gradual re-launch, including which itineraries will first come online. Having assets with rudders and propellers is a unique advantage to our industry as we can be extremely nimble and reposition our ships as needed. While our operations teams focused on protocols and destination, our brand presidents will focus on reactivating and accelerating the sales and marketing machine that is at the heart of our market to fill philosophy. Our brands have done a fantastic job fostering demand in engaging guests and travel partners in this challenging operating environment with our ships sitting idle. As we prepare for sailings to resume, we will have to adapt our marketing strategy to focus on health and safety measures, while at the same time keeping sight on the overall drilling experience of cruising, and what makes it such a unique vacation experience in the travel industry. With new protocols in place, coordination with ports and demand engines churning, what follows will be a phased re-launch of voyages. We expect sailings to restart with a handful of vessels, phasing in others over a period of five to six months before we have our full fleet back in operation. As I said earlier, as with many new endeavors, there will be fits and starts that will require the quick implementation of new protocols, which we will continue to adapt as we learn what works, and as newer more efficient and more cost-effective technologies involve and become readily available. Before turning to Q&A, I'd like to leave you with a few key takeaways from slide 16. First, we have significantly strengthened our financial position to withstand a prolonged suspension of voyages by significantly reducing operational and capital expenses and executing several liquidity enhancing measures including a successful capital raise of $2.4 billion. Second, there continues to be demand for cruise vacations, despite limited marketing and demand generating investments. And lastly, we are intently focused on developing and executing the next level of health and safety protocols for a new era of cruising led by a seasoned management team that has proven its ability to navigate through uncertain and challenging times. And with that Jonathan, let's open up the call for questions please.
Operator: Certainly.  Our first question comes from the line of Thomas Allen from Morgan Stanley. Your question, please.
Thomas Allen: Hi. Good morning. So focusing on the future, how do you think your higher domestic source mix and your higher absolute yields will affect the way your recovery looks versus the industry in general? Thanks.
Frank Del Rio: Thomas, I think there's a lot of muscle memory throughout the ecosystem, and so everything is relative. I think the demand -- overall demand certainly will be impacted. It will be weaker as we roll out as the economy takes its toll, as people need to regain confidence in the cruise industry, and our ability to keep them healthy. But if we were -- if we had the highest yields coming into this, I think we'll have the highest yields during it and highest yields coming out of it. Part of it is because of our brands. Part of it is because of our fleet. Part of it is because our go-to-market strategy, as you know is not to discount to fill. It's to market to fill. So, we're very anxious to getting back to do what we do best, which is marketing. And as you know, we have literally shut down the marketing machine, the sales and marketing machine over the last 10 weeks or so. And despite that shutdown, as you've seen in our disclosures today, we're still taking bookings. And that gives us a lot of encouragement that despite everything that's going on, people still want to cruise. And I think that's the best indication we have that there is a future and the future will be bright.
Thomas Allen: Okay. Thank you. And then just as a follow-up, you -- there was some encouraging comments on the prepared remarks around overall book position and pricing for 2021 being within historical ranges. How much of that is new money being booked versus re-bookings of existing mortgages? And how should we think about that? Thank you.
Mark Kempa: Yeah. The vast majority of the booked position today that has us within historical ranges, and historical ranges for us means 2017, 2018, 2019, 2020, the last three, four years. The vast majority is good old cash bookings. Over time as people finalize their future plans, we hope that they do take advantage of those future cruise certificates which as you know are good through the end of 2022. So, they've got plenty of time. But today the vast majority of those sailings -- of those bookings I should say, are just normal cash bookings.
Thomas Allen: Helpful. Thank you.
Operator: Our next question comes from the line of Stephen Grambling from Goldman Sachs. Your question please.
Stephen Grambling: Hey, thanks for taking my questions. I guess -- I know there's a lot of unknowns, but how do you think about the free cash flow generation at the ship level at various occupancy levels as you start seeing some go back out in the water and there are still different social distancing measures that could be in place?
Frank Del Rio: Don't think of it as load factors. Think of it as total revenue. As you know yield total revenue's made up of three variables; load factor, ticket revenue, and onboard revenue. And so there is a relatively low total revenue threshold before that particular sailing is cash positive. But look the number one factor as we relaunch operations is not the -- necessarily the revenue of a particular sailing or the EBITDA of a particular sailing. It's regaining the confidence of the consumer so the consumer can continue to book under the normal booking curve. Remember this is a forward-looking business. The cash flows that comes from customer deposits and the advanced payments is what fuels this industry and what has been draining out of everybody's treasury over the last 10 weeks or so as we either cancel sailings or people cancel their own voyages for a myriad of reasons. So, as we start operations we've got to regain momentum, Stephen. This is an industry a company that was running 1,000 miles an hour and overnight was shut down to just a screeching halt and we've got to get that momentum back. And so I am less concerned about what the EBITDA, the revenue may be of a particular sailing especially in the first 30 or 60 to 90 days, but I'm more concerned about getting back normal operations, getting back to the sales and marketing machine, churning out which churns out the cash flow necessary to rebuild our advanced ticket sales because the important part is knowing that people book seven, eight months in advance let's not forget that. And so I'm concerned about cash inflows in the short-term as we resume operations and we'll be looking at what revenue and EBITDA will be six, seven, eight months after that in the normal course of what the booking curves are.
Stephen Grambling: That's helpful. And as a related follow-up can you just remind us what percentage of forward bookings typically come onboard the ships? And any other color? It sounds like you're kind of going down this path, but around when working capital would potentially inflect as we think about different booking curves and ships coming back out in the water.
Frank Del Rio: I'm not sure I understand the question Stephen.
Mark Kempa: Yes. Stephen I think -- this is Mark. So there's two pieces to that. I think you were asking how much -- how many customers book while on board, is that correct?
Stephen Grambling: Correct.
Mark Kempa: Yes. So, I don't think we've disclosed that but obviously we have very solid programs under our CruiseNext program where we are able to secure forward bookings but we don't give publicly those numbers. In terms of the working capital, the way we're thinking about it is look we've one of the positive signs that we've seen is we've seen a significant inflow of new bookings and new cash, but as well as customers with existing bookings. And while we are now in the process of obviously refunding quite a few customers their advanced bookings, we believe that in the next 30 to 60 days we are going to be working capital positive as a result of the new and existing cash that's coming in from those bookings. So, you will see it. There is going to be a little bit of a slow ramp-up to that. But again in the next 30 to 60 days we see a positive working capital from that.
Stephen Grambling: Thanks for the color.
Operator: Thank you. Our next question comes from the line of Harry Curtis from Instinet. Your question please.
Harry Curtis: Good morning everybody. Wanted to go back to the comments you made Frank about the importance of customer confidence. You've recently brought on Scott Gottlieb as a Consultant. Can you walk us through some of the new protocols that -- what they might look like to improve that confidence as potential customers consider cruising again and the safety aspect?
Frank Del Rio: Good morning Harry. Look I don't want to run what we're going to be developing. That is up to all the experts that we have put together. We think we've put together a very strong team. So, it's first things first. The number one gain consideration today is to get the CDC to lift a no-sale order. That's job one. Can't go very far without that. And so we have to introduce a series, what I would refer to as robust and comprehensive series of protocols that gives the CDC confidence that the environment onboard a cruise ship is healthy. And then once we do that we have to communicate whatever those protocols may be to the traveling public and bring -- and give them the same confidence that we were able to instill in the CDC. So it's a multipronged process. Similar submissions to the CDC will likely have to also take place around the world. The U.S. isn't the only country concerned with the spread of COVID-19 they all are. We've seen some recent cracks in the opening if you will of what's happening in the EU. They have a more unified plan in place to gradually reopen borders and therefore tourism. So that's very helpful and encouraging. But this will take some time. We want to do this right Harry. This is not an exercise of optics. This is not an exercise of let's get away with the minimum required. I want to do everything humanly possible within the bounds of what technology offers us today to be able to look my own family in the eye and say "You are safe to go onboard our cruise ships." And until we do that respective of what the CDC or anybody else might say we're not going to operate. We want to make sure that we preserve and enhance the equity value of our three brands and you're not going to do that if you have outbreaks of disease on board. So it's still too early to talk about specifics, but know that everything is on the table to make sure that we can provide that health, security and confidence among all stakeholders.
Harry Curtis: Thank you for that. Maybe a quick follow-up on the comment that Mark just made about working capital positive. Can you talk about your -- the expectations of how -- when you get when you begin to market again, when you get two or three ships in the water, is that likely to lift the velocity of bookings as customers actually feel confident that they can set itineraries? And Mark maybe you can comment on how you get to maybe a 30- to 60-day narrowing of that working capital gap and whether or not just by setting those itineraries is really the primary catalyst for that?
Mark Kempa: Yes. I think -- so first let me be clear that since we've shut down and I'll reference the month of April, we have taken a significant amount of new cash bookings and collected a significant amount of advanced ticket sales. And that is during a period where we had a horrific news flow and we had essentially zero marketing in the market. And that continues through May and it continues to increase. So I think you're absolutely right. To the extent when we can actually get voyages on sale and we actually start to really spend a little bit more marketing dollars, I think you're going to see that flywheel spin even quicker. But even without that and again that's what's important and why we're so confident here is that we continue to take in a significant amount of cash today. And so it is not our working capital -- my working capital comments are not dependent on us saying that we have to announce an itinerary in one month or two months or three months. That will help and that will help accelerate, but it is not dependent upon that. So again, it just continues to demonstrate with the new cash coming in the resiliency of this industry. And consumers are smart. They understand that there will be solutions. We are seeing customers come back. They're booking, obviously not to the volumes that we would like to see in a normal environment. But consumers know this product's going to be there and that they have confidence in it. So bottom line is that will help, but it is definitely not dependent on that.
Harry Curtis: Well, that's a positive statement relative to the negative press that you see in the media these days. Good luck with that. Thanks.
Mark Kempa: Thank you.
Operator: Thank you. Our next question comes from the line of Felicia Hendrix from Barclays. Your question please.
Felicia Hendrix: Hi, thanks. Good morning and thank you for the helpful information. This is probably for both of you Frank and Mark. Just question/clarification on your booking commentary because it seems to have moved around over the past few weeks and we've just been getting a lot of questions on that. So when you filed your 8-K on April 27 and that data was as of April 17, you said the 2020 book position was meaningfully lower with pricing down low single-digits. And then that changed in a following 8-K. You said that bookings as of 4/24 were meaningfully lower, but pricing was now down mid-singles. And then for 2021 the pricing commentary didn't change but the booking commentary did so as of 4/17 your book position was flat. And then at 4/24 it was slightly lower. In both cases pricing remained down to single-digits. And then in this release there wasn't really a lot of color on the booking commentary. So just trying to get an idea overall about the trends because just based on that it seems like they're getting worse. But also like is it even meaningful, right? So like how much of an indication do you think it really gives us for pricing and bookings once cruising actually opens up?
Frank Del Rio: So Felicia, as time goes on, remember we started the year in a incredibly better book position than any other time. We had a huge lead. We had a huge lead at the end of February. And as the COVID-19 pandemic has worked its way through the booking process we're taking less bookings than we were this time last year. We're still taking bookings as Mark said. It's encouraging to see how much bookings we're taking given that the entire sales and marketing apparatus is shut down that we're working virtually. The travel agents, which still make up the majority of our business is not at full strength either. But as time goes on and we take on less bookings in the current period or periods than prior year, you're going to see a deficit being built over time, as we continue to be shut down and not until we reopen all the sales and marketing activities and the travel agents reopen for business, et cetera would you see a pivotal acceleration of new business that hopefully gets us back to a rate that allows us to sail full. So over time if things continue the way they are today, over time, the commentary will be that we are falling behind to where we were this time last year because we are taking less bookings today than we did a year ago.
Felicia Hendrix: Okay, that makes sense. And then just to clarify something you said earlier because you said it very fast. Just that – because we were talking about the historical booking patterns for 2021 and you're saying I think that was in terms of how much is booked in 2021 in the high teens. So I think you said 17% 18% 19%. Did I hear that right?
Mark Kempa: No, I think that was a reference to say when we look at our historical trends it was based on calendar years 2017 through 2020.
Frank Del Rio: Yes not a percentage.
Felicia Hendrix: Okay. So – but if we look at – got you. If we look at normal historical booking patterns though just for the industry in general, I think this time this year, the following year is somewhere around 20%, 25% booked. So is that the metric when you're staying in line with historical patterns?
Frank Del Rio: We won't comment as to your high-teen 25% because we typically don't comment on where our book position is for the following year at this early stage. But we are comparing where we are right now for 2021 compared to where we were right now a year ago for 2020 and compared to what we call the historical range, which includes 2017, 2018, 2019.
Felicia Hendrix: Okay. Thanks for the clarification. And then just on your comment that the full fleet could return in five to six months, I was just wondering is that based on customer surveys you're doing now and the booking curve? And do you think you'll be sailing at historical occupancy levels, or does that really depend on kind of some of the regulations that will be in place?
Frank Del Rio: Yes. The return to service of a phased approach of roughly five vessels per month is what we believe we operationally could handle in terms of bringing back the ship from cold lay-up including re-crewing the vessels, et cetera. And so that – given that we have 28 vessels, if you bring back an average of five vessels a month, it's going to take about six months to get all ships back operating. Now that assumes that the itineraries that these ships would operate are available for operations. And so it could be that if ship number 19 is operating a certain itinerary and that itinerary is not open or certain key ports in that itinerary are not open then maybe that that vessel has to stay late up longer periods of time. So the six-month ramp-up assumes more than anything else our operational capability to ramp up and that the ports are open has nothing to do with consumer demand because we believe consumer demand and the bookings that follow are based on our ability to market, travel agents being back open again, the whole industry being back in operation as opposed to sitting idle, et cetera.
Felicia Hendrix: And on the occupancy side do you think you'll be sailing at regular occupancy levels?
Frank Del Rio: No I don't think so one bit. I think it'll take time to ramp up loads. We don't know for example, whether government agencies will require us to initially sail at less than 100%, even if there was demand to sail 100%. Just remember, the -- it's very easy and incurred very quickly to dismantle the whole apparatus. And that it takes time to refill the apparatus. So if the booking curved on average is seven to eight months, it's going to take at least that long, without taking in consideration economic factors of how it may have affected the consumer, to get the pipeline back to a full or near-full environment. And so, this is going to take time. All we can do now is use some level of reasonable projections. But until we get back in the game and recognize that being back in the game could be different than it was before, for the reasons I noted before, what are the protocols that we will have to operate by, what ports are open et cetera, those are the biggest gating factors, not necessarily consumer demand. I believe that consumer demand in this industry and this -- these three brands of ours are very apt, at marketing. The travel agents are well behind us. There is pent-up demand let's not forget that. People only talk about the negative, but the fact that the industry has been shutdown now over four months. There'll be pent-up demand. People will want to cruise again. And so, all those are positive factors. But nothing takes the place of time. And we have to be conscious of that.
Felicia Hendrix: Thank you so much. That is very helpful.
Operator: Thank you.  Our next question comes from the line of Ivan Feinseth from Tigress Financial. Your question please. I think you might have your phone on mute.
Ivan Feinseth: Yes. Sorry about that. And thanks for taking my question. I have just two quick questions. Were you able to take advantage of the drop in oil that we saw in April? Because you had a slide in the appendix, shows oil prices just at the end of March. And my other question is, the people who are booking are they booking -- are you getting bookings from people who are within driving distance to the ship they're booking on, or are you still -- are you seeing people who are booking also going to fly to get to the port -- the ship that they're booking on?
Frank Del Rio: I'll take your second question. And Mark will answer your question about fuel. I thought somebody would ask me this type of question, so I looked into it. For the Ocean and Regent brand, their number one itinerary in terms of demand for Q1 early Q2 is Japan, its Dubai, several of the World Cruise segment. So therefore you have to fly there. And so, this notion that people aren't going to want to cruise to faraway places or exotic destinations, what we're seeing, is defying that. So we're not seeing any particular area of strength other than these Japanese itineraries, these World Cruise segments that are sold out literally. No particular destination is performing particularly well or particularly bad. People are booking and people are cancelling sailings in the future, at the pro rata rate that we have those itineraries available either. I'll let Mark answer the question about fuel.
Mark Kempa: Yeah. Hi. Good morning, Ivan. So, yeah, we did take advantage of some of the recent fuel pricing and opportunistically layered on some hedges for 2022 and 2023. We didn't do anything for the remainder of 2020 obviously, because we're already 68% hedged for the back half of the year. And really the big question is that when are we going to be able to restart. So we didn't want to do anything there. And we continue to look at 2021. So we -- now that we have our capital rate behind us. We will continue to focus on that. And again, from an opportunistic standpoint, where it makes sense we will enter that market.
Ivan Feinseth: Just one other quick question, in the fact that some of your -- like Regent Cruises include plane tickets. And you have had promotions in the past that include airfare. Do you think there's an opportunity to work with the airlines who unfortunately like your industry have been unfairly hurt by this to get a deal on plane tickets that you could help market in the future to people who want -- who cruise. But don't live close to the ports?
Frank Del Rio: We definitely believe that airfares in the near to -- in the next six to 12 months will be lower than usual. So it will be a tailwind to cost. And we'll look to do more and more promotions including air, on itineraries that require that yes.
Ivan Feinseth: All right. Thank you.
Operator: Thank you. Our next question comes from the line of Brandt Montour from JPMorgan. Your question please.
Brandt Montour: Good morning everyone. Thanks for taking my question. Just one for me. Based on the internal scenarios that you're running for load and for price and assuming you can't start sailing in August, roughly how much of your fleet, do you think needs to be in the water to break even on an EBITDA basis?
Mark Kempa: Yeah. So -- good morning, Brent. This is Mark. So again I think there's two ways to think about this right? In terms of -- if you look at our historical EBITDA margins, they're about 30% so that kind of gives you upwards of 30%. That kind of gives you how much -- whether it's revenue or a combination of costs we can reduce and you could translate that into a percentage of fleet. But then it depends on whether or not the ships are full or operating at reduced load. But as Frank had said earlier, our concern right now is not are we operating in a positive EBITDA or a negative EBITDA? We are -- we need to gain momentum. We need to get ships in the water to accelerate the product awareness and get that ATS cash flywheel going again. And that's what we're focused on for the next six to eight months. So there's not a magic number of ships, because there's just too many dynamics between the pricing and the load and then what the spend is. So I will tell you that we -- obviously, we don't want to run the business at a loss but we will have to run the business at a loss for the next few months, but it's more importantly about getting that cash flywheel going again, so.
Brandt Montour: That was good. Thanks a lot guys. Good luck.
Mark Kempa: Thank you.
Operator: Your next question comes from the line of Steve Wieczynski from Stifel. Your question please.
Steve Wieczynski: Yeah. Hi, guys, good morning. Mark, let me ask the working capital question a little bit differently and I hope this makes sense. But you guys have indicated this morning that -- I don't remember, which adjective you used but a good bit of the 2021 bookings are new or unique bookings. So after the first wave of refunds that have already occurred, is it fair to say that for every dollar you are refunding now, you're bringing in a new dollar for an advanced booking, or is that ratio still tilted way more toward a net cash outflow?
Mark Kempa: Yeah. I would say looking at it today there's still -- it is still definitely weighted towards a net cash outflow. And what I was referring to earlier is that when we look over the course of the next 60 days, by the end of that 60-day period we believe that ratio would flip to a positive. And that's just a matter of timing and again given the amount of refunds that we are implementing as a result of the canceled voyages. So again that's -- I would -- we anticipate in the next 60 days that that is a positive ratio. But I will tell you again it's very encouraging that we are substantially offsetting those refunds with that new cash coming in and that's where we definitely see some of the green shoots of this industry.
Steve Wieczynski: Okay, got you. And then second question, I think it might be for Frank or you Mark. But I assume you guys have run all kinds of scenarios as to what the business looks like as it comes back online. And can help us think about the time lines you guys are projecting or expecting that we might be looking at in order for you guys to return to some kind of profitability level whether that's a 2019 level or whether that's a 2018 level? Anything like that would be pretty helpful as well.
Frank Del Rio: So let's start with 2020. 2020 is a wasted year. At a minimum, the industry is going to go the entire Q2 without a penny of revenue, impossible to overcome. Depending on how quickly we can reopen and whether in our case, for example, can we execute on the plan that I laid out where we bring back the fleet gradually over a six-month period. So pick a date. But just for argument's sake, pick October 1st as the first start date and I only pick October 1st, don't read much more into what except that it's beginning of a quarter. And you figure that we won't be fully operational until the end of Q1 of 2021. And during that time you are ramping up your marketing, travel agents hopefully around the world, especially in the U.S. coming back to work. The booking curve traditionally is seven, eight months. You put all those factors to work and what you end up with is a very challenging period of time through Q1, getting better in Q2, every subsequent sequential quarter is better whether you get back to full operation, full load factor, full pricing, sometime in 2022 I personally don't believe. I think the runway will be longer. But 2021 will be a transition year. And then you can start the rebuilding in earnest in 2022 forward. And whether you get back to 2019 levels in late 2022 or in 2023 and if you're really pessimistic in 2024 there's so many details involved. Steve, I know you know this the things we normally talk about are out the door. We're talking about just -- it's almost like relaunching a company from scratch, when you have the entire fleet shut down and you don't know when you're going to be able to start again because it's not up to you. It's up to public health officials and governments around the world. It's very difficult to predict with certainty revenue and EBITDA. As I said before, it's a building block. And the building block starts with when can we start to operate? When can we start marketing? Marketing is the seat of cash. Cash comes in six, seven, eight months later, that cash can be recognized as revenue and therefore then EBITDA. So we got to have patience. It took decades to build this industry. And in a matter of weeks we dismantled it and it's going to take not decades to build it up again, but it's going to take a little time. And we just have to be patient. No one is more impatient than me. But I recognize that this is going to be a recovery effort that's going to take multiple quarters, perhaps multiple years to get back to the good old days of 2019.
Steve Wieczynski: That’s great. Thanks, Frank. Great color.
Frank Del Rio: We have time operator, Jonathan for one more question.
Operator: Certainly. Our final question then for today comes from the line of Vince Ciepiel from Cleveland Research. Your question please.
Vince Ciepiel: Yes, thanks. So, it sounds like your plan is, if things go right maybe five to six months of reactivation and reactivating the full 100% of your fleet. I know you have a bit relatively younger age in your fleet versus the industry. But could you comment on what percent if at all do you think the industry may lay up or retire or scrap through this pandemic?
Frank Del Rio: Yes. I can't speak for the industry at large with any kind of specifics. As you pointed out, we have a very young fleet, so none of our vessels are remotely eligible if you will for scrapping or for anything else. I do believe in a macro environment given what we are facing that you're going to find that certain vessels will be retired vessels that might have been marginal performers in good times may not be worthy so to speak of staying in service. So, you might see that. You might see new delivery. I remember all you guys being so worried about capacity increases and over the last couple of years that it was 5% or 6% and it was a couple of points higher than the historical average. And oh my God, oh my God and you saw how the industry was able to easily digest new capacity coming online and we all had the best years of our history. But I do believe that certain vessels that may be scheduled for delivery in the next 12 to 18 months may be delayed and that will help the capacity situation. And different companies will have different plans on how to bring back their fleets. One of the things that I've been telling folks that I usually don't say is that, I'm glad I only have 28 ships. Usually I want more ships. That's why we have nine vessels on order because, when you have what you have and they're all full and you're making lots of money with them you want more vessels. But in this environment, I'm glad I have less vessels. So, look, like in many industries that are facing the kind of challenges we're facing there's going to be survivors and there's going to be some that don't survive and there's going to be success stories and failures. We think we're in very, very good position given our liquidity profile, given the quality of our assets, our go-to-market strategy, our management team. So, we feel like we will be one of the success stories that will write the history books on COVID-19. We'll see where the chips fall for everybody else.
Frank Del Rio: Thank you, operator. I look forward to our next call in 90 days or so. Things will I'm sure will be very, very different. I hope they're different for the best. In the meantime, I hope you all stay healthy and continue fighting the good fight. Thank you very much.
Mark Kempa: Thank you, very much everybody.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.